Operator: Good morning, and thank you for joining us for RPC, Inc. First Quarter twenty twenty five Earnings Conference Call. Today's call will be hosted by Ben Palmer, President and CEO and Mike Schmidt, Chief Financial Officer. At this time, all participants are in a listen only mode. Following the presentation, we will conduct a question and answer session. Instructions will be provided at this time for you to queue up for questions. I would like to advise everyone that this conference call is being recorded. I will now turn the call over to Mr. Schmidt.
Mike Schmidt: Thank you, and good morning. Before we begin, I want to remind you that some of the statements that will be made on this call could be forward looking in nature and reflect a number of known and unknown risks. Please refer to our press release issued today along with our 2024 10-Ks and other public filings that outline those risks, all of which can be found on RPC's website at www.rpc.net. In today's earnings release and conference call, we'll be referring to several non GAAP measures of operating performance and liquidity. We believe these non GAAP measures allow us to compare performance consistently over various periods. Our press release and our website contain reconciliations of these non GAAP measures to the most directly comparable GAAP measures. I'll now turn the call over to our President and CEO, Ben Palmer.
Ben Palmer: Thanks, Mike, and thank you for joining our call. Today, we will talk about our first quarter results and the acquisition we just closed in early April as well as share our views about the increasing tariff driven macro uncertainties. We are encouraged by the start of the year with respect to our financial performance and excited to bring Pentel into the RPC portfolio. Further, are confident that our strong balance sheet even following the funding of the acquisition provides a solid cushion in uncertain times while still affording us the ability to invest as attractive opportunities arise. First quarter results can be summarized as stable revenues with some EBITDA growth. Recall that our fourth quarter held up relatively well in a sluggish market thus we weren't necessarily expecting a typical seasonal pickup heading into the first quarter. Nevertheless, we were pleased with our financial results especially sequential EBITDA growth. As we look across the service lines for the quarter, pressure pumping revenues were essentially flat sequentially. And all of the service lines in aggregate declined 1%. We worked this diligently to drive utilization, though it did come with some pricing concessions. We are balancing the pricing and utilization strategy to service our customers while not performing work at levels that generate inadequate returns. We still see higher utilization within our frac assets for tier four DGBs where we have better visibility with dedicated customers and continue to deliver solid wellsite performance. On the other hand, demand and utilization remain challenging for tier two diesel equipment. Spot and semi-dedicated frac markets are a handful supplied with horsepower capacity. And pricing remains highly competitive. As competitive as OFS companies compete to maximize utilization. In the current frac pricing environment, capital investments must be rigorously evaluated. And we suspect some smaller, less well-capitalized competitors may disproportionately struggle. To maintain asset quality and performance. Some may even exit the business. We are certainly hearing more about pumping equipment for sale at low prices. We believe these are mostly assets with limited useful lives indicating that some providers are opting to monetize and exit rather than maintain and reinvest. We see this as a positive, potentially tightening frac supply and leading to firmer pricing, but this may take some time to play out. Our 2025 plans still do not include a new frac fleet. Though if and when we invest in incremental frac equipment, we would expect to retire older fleets. Looking at our non-pressure pumping service lines, combined revenues were down 1% sequentially in the first quarter with no individual service line up or down a significant amount. Short, it was a fairly stable quarter across most of the business. Downhole Tools revenues were flat. Several of our regions delivered solid growth in the quarter, but were offset by some unusual weather disruptions. In the Rocky Mountains and other regions. Our new drill and unplug products continue to gain early traction in the market. And we are pleased with the response. But these are still too small to move the needle on our overall financial results. We look forward to more progress, and we will share updates on key milestones as appropriate. Tubing was down a few points in the quarter. Cementing was flat, and rental tools had a nice gain. Of about 7%. As that business did see a noticeable bounce to begin the New Year. A strategic standpoint, we believe bolstering these less capital-intensive service lines with organic investments and acquisitions will help drive growth, improve our customer mix, and reduce volatility in our financial results. And with that, I will segue into the Pentel Completions acquisition. We have been talking increasingly in recent quarters about our optimism for executing acquisitions. We have assessed several potential transactions since acquiring Spendicar in 2023. And we were very pleased with our ultimate outcome. Acquiring Pentel in an accretive transaction. The total purchase price was $245 million, comprised of $170 million in cash, a $50 million seller note, and $25 million of issued stock. While we had ample cash to fund the total purchase price, we believe the notes and stock provide increased alignment and incentives as we move forward together. Pentel is a leading wireline perforation services provider offering some of the newest and most efficient, high-performance conventional and electric equipment in the industry. With more than 30 active fleets. It has a fairly concentrated customer base of blue-chip E&Ps and all of its operations serve the Permian Basin. The Pentel management team is well regarded in the industry having established a reputation for delivering outstanding customer service a safe and efficient way with low emissions. Pentel generated $409 million in revenues in 2024. We believe it has reached critical mass and expect revenues to trend with the overall market. His customer retention is a testament to the strength of his relationships and consistent wellsite performance. We note that quarterly revenue was in the $100 million range in each quarter last year. With no discernible seasonality or year-long directional trend in their top-line results. We have not disclosed specific profitability measures. However, our general expectation is for EBITDA margins to continue to track at about 20%. Plus or minus a few points. Pentel will maintain its operational approach, and we expect a relatively light integration with most of our efforts focused on back-office support and financial reporting. Its day-to-day operations will remain largely unchanged and the management team will remain focused on serving its customers. With respect to the strategic rationale of the deal, you may recall that during our fourth-quarter call, we highlighted several strategic imperatives to executing our goals. Improved margins and execution, and optimize our assets increase operational scale through M&A, rebalance our portfolio with a focus on high cash flow generating service lines, and strengthen our customer mix by increasing our focus on blue-chip E&Ps given industry consolidation. Pentel is very well aligned with those imperatives. Adding over $400 million of revenue certainly adds operational scale and meaningful share in wireline. Pentel is also a high cash flow producing business with relatively low capital intensity. And its exclusive focus on blue-chip customers is something we find very appealing. This acquisition is a great fit with our strategic direction, we continue to expand our completion services capabilities and focus on overall company growth and free cash flow. Looking at our 2024 revenues, pro forma with the addition of Pentel, Pressure pumping was 32%, Wireline increased from 1% to 23%. Downhole tools were 21%, Coil tubing was 7%, and cementing was 6%. All other businesses together would represent approximately 11%. Furthermore, the Pentel transaction would move our Permian concentration up to approximately 60% of total revenues. With that, Mike will now discuss the quarter's financial results as well as some notes on the Pentel transaction. Thanks, Ben. Shifting to the first quarter financial results.
Michael Schmit: With sequential comparisons to the fourth quarter of 2024. Revenues decreased 1% to $333 million. Breaking down our operating segments, technical services, represented 94% of our total first-quarter revenues, was down 1%. Support services, which represented 6% of our total first-quarter revenues, were up 1%. The following is a breakdown of our first-quarter revenues for our top five service lines. Pressure pumping, is 40.1%. Downhole tools 28.2%. Coiled tubing, 9.6%. Cementing, 8.3%. Rental tools, 4.6%. Together, these accounted for approximately 91% of our total revenues. Cost of revenues, excluding depreciation and amortization, decreased by $6.4 million to $243.9 million or 3% during the first quarter. The lower cost of revenues can be mainly accounted for by lower expenses in three categories. First, transportation and fuel declined due to job mix. As we provided less fuel to our customers. This typically carries little to no profit, it's actually a positive margin impact for us. Second is lower material and supplies. As the mix of our jobs changes quarter to quarter, so does the amount of sand and chemicals we supply on these jobs. Lastly, we noted in the fourth quarter that insurance costs were elevated. The same level of expense did not repeat this quarter. Thus contributing to a modest sequential improvement in the first quarter. SG&A expenses were $42.5 million up from $41.2 million as a percentage of revenues increase 50 basis points to 12.8%. Reflecting increased IT modernization project expenses. And slightly lower revenues. Our first-quarter tax rate was 27.2% more in line with our normalized tax rate. Recall that our fourth quarter of 2024 tax rate was unusually low due to the impact of tax planning strategies and interest received on past refunds. Notably, we had higher sequential EBITDA The increase in tax rate drove a slight sequential net income decline. Compared to Q4 2024. Diluted EPS of 6¢ in the first quarter was flat versus the fourth quarter. EBITDA was $49.489 million up from $46.1 million. With EBITDA margin increasing 100 basis points sequentially to 14.7%. For the quarter, operating cash flow was $39.9 million And after CapEx of $32.3 million free cash flow was $7.6 million. At quarter end, we had $327 million in cash and no debt on the balance sheet. During the quarter, we paid $8.7 million in dividends. Regarding the 2025 capital spending expectations, we now project $165 to $215 million, inclusive of Pentel for the next nine months. Mostly related to maintenance. Shifting now some new Pentel modeling notes. Pentel closed after the first quarter so there was no material P&L balance sheet, or cash flow impact from the deal in our results. We are not providing explicit accretion guidance for the transaction, but we do expect it to be accretive. To EPS and cash flow for 2025. Based on our comments, you should be able to make reasonable projections revenues and EBITDA. Which will be in large part influenced by overall OFS market conditions. Beyond the EBITDA impact, please note a few other modeling items. CapEx for Pentel will likely be up to $20 million on an annualized basis. With depreciation expected to approximate annualized CapEx. We will lose interest on the $170 million cash portion of the transaction funding. As well as incur incremental interest expense on the $50 million seller note. It has a floating rate of SOFR plus 200 basis points. Lastly, based on the share price, immediately before April 1, we issued approximately 4.5 million shares. We will complete purchase accounting in the coming months and note that certain future expenses impacted by the purchase price allocation and related valuation including the amortization of intangible assets, were not contemplated in these figures.
Ben Palmer: On another topic,
Michael Schmit: you may have seen the company has filed S-3 registration statement with the SEC which includes registering the Rollins Family Control Group shares. The Rollins family has been a longtime shareholder with ongoing representation on our board. They have always been supportive of the company, and we do not believe this changes that relationship. We view the registration of the control group shares as good corporate housekeeping. I'll now turn it back over to Ben for some closing remarks.
Ben Palmer: You, Mike. To wrap up, I want to touch on the macro environment. We have entered a period of high uncertainty and limited visibility, with respect to tariffs and their impact on inflation and the economy in general. Tariffs in the current form will likely push equipment prices higher, put even more pressure on the industry to be disciplined with capital spending. More broadly, the potential economic impact from tariffs and trade disputes increases uncertainty. And contributed to oil prices falling to the low $60 range. Oil at these prices makes it difficult for some customers to just continue completion activities at prior levels, but only time will tell. News flow and market developments are dynamic in the current environment. We, as well as OFS competitors in upstream and players in the value chain, will have to navigate these uncertainties as we assess investment commitments. However, despite some mild turbulence and unknowns, a few things remain unchanged. Balance sheet is strong. Our dividend is secure. And we have ample liquidity to ride out volatility. And still capitalize on opportunities as they arise. We believe the company has an attractive mix of service lines and brands, customers and geographic presences, and we'll execute our strategy with patience and discipline including our pursuit of additional acquisitions. On a separate note, we'd like to welcome Steve Lewis to our board of directors after being elected this week. Steve retired from the law firm Troutman Pepper. Formerly Troutman Sanders in 2023. Where he had served in various leadership roles, including chairman and CEO. At the same time, Gary Rollins and Pam Rollins have retired from our board. We thank them for their years of contributions, leadership, and service. In an often volatile market, our discipline remains consistent, with a focus on financial stability and long-term shareholder returns. I also want to thank all our employees who work tirelessly to deliver high levels of service and value to our customers. Thanks for joining us this morning. And at this time, we'd be happy to address any questions you may have.
Operator: And your first question comes from the line of Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Good morning.
Ben Palmer: You may be on mute.
Stephen Gengaro: Please go ahead.
Michael Schmit: You hear me?
Stephen Gengaro: Yeah. Now we can. Now we can. Oh, there you go.
Michael Schmit: Yeah. But it didn't like me. The when we you talked a little bit about this, I think, on a
Stephen Gengaro: prepared remarks. But when we think about the pressure pumping market, in general, are you seeing like, what are you seeing in sort of pricing conversations? And are you seeing any differences kinda versus prior periods of softness in the market?
Ben Palmer: I think I understand the question. You know, each one of these cycles is different, yet they're very much the same. I think some of what's happening is, again, with all the uncertainty about what's going on and the fact that things could, in fact, flip back. I think, you know, our customers are scrambling. They're trying to respond to their potential impact with lower oil prices. So they're trying to do what they can. You know, service companies like us are trying to hang in there and do the best we can to try to be accommodating to our customers yet. You know, we're trying to maintain our business as well. So I don't know that the discussions are completely different, but I think the circumstances are perhaps a bit different. And that may impact slightly those discussions. But it's all about the give and take, in trying to reach hopefully a decent place for both parts.
Stephen Gengaro: Okay. Great. And then following Pentel, or can you just kind of remind us when you think about capital allocation, kind of what the priorities are? And when you're looking at M&A, what are sort of the two or three most important criteria you look for?
Ben Palmer: Well, obviously, we want accretive transactions, We certainly, you know, adding to existing businesses that we have that have good strong brands is certainly a criterion. But, again, looking customers, we want more exposure to the larger customers They're that should translate into more steady business. Less volatility, Also looking for companies, service lines that have good free cash flow generating capability. We all know that pressure pumping is a very large part of the overall, well completion cost. But it is highly competitive right now. We still are committed to that business. But we're looking to grow in some other service lines and with brands that brands with good management teams that can produce some good free cash flow. So that's really our priority. More exposure to E&P customers, and businesses with good free cash flow potential. At prices that can that'll be accretive to our results.
Stephen Gengaro: Great. And then the one final one was when and I'm just I don't wanna give you the wrong numbers here. But when we when we think about the Pentel business, I think it was running kind of close to about $90 million in revenue a quarter based on the info that was disclosed. Is that about the right starting point right now? As we think about layering it in?
Ben Palmer: Steven, we said in our earlier comments they did a little over $400 million in 2024, and each quarter was right at a hundred. So I think
Stephen Gengaro: you know,
Ben Palmer: hundred more or less or whatever. You know, they've kind of as we indicated, they've kinda reached their critical mass. So but certainly not completely oblivious to or can't avoid the overall market forces that are in place. But in round numbers, probably closer to a
Stephen Gengaro: Great. Alright. Thank you for the details. Thank you. Appreciate your questions.
Operator: Again, if you would like to ask a question, press
Don Crist: And your next question comes from the line of Don Crist with Johnson Rice. Please go ahead.
Don Crist: Good morning, guys. How are you all today?
Michael Schmit: How are you? Good morning, Don. Are you seeing any shift
Don Crist: in kinda customer activity? And I know pressure pumping's
Ben Palmer: but generally a large topic of discussion. But in your other service line, do you see any shift away from high CapEx projects, I. E, new wells and new pads towards workovers or anything like that that may have a bigger impact to E&Ps cash flows with smaller dollars?
Ben Palmer: That's a reasonable question, Don. It's a little bit early. To know that or to have a whole lot of feedback on that. That certainly seems reasonable. And in prior cycles, that type of shift has occurred. So we're certainly watching for that sort of thing. Good question.
Don Crist: Okay. And
Ben Palmer: on a typical job, kinda timeline, like, what is your visibility normally? I mean, if you're either, you know, fracking a well or a pad rather, do you have visibility on the next two pads or just the next pad? Like, when is that decision point made? Normally in normal kind of business cycle to where we can kinda forecast, like, how far out you know kinda what you're gonna be doing.
Ben Palmer: Well, our frac business, historically is as you and others know, has been for the spot market and semi-dedicated. So it depends on, you know, the size of the customer and the nature of, you know, the type of work we're doing. Typically, for the semi-dedicated customers, we have some visibility for months at a time, maybe not a year or more, but we certainly typically have some level of visibility Spot market, much less so. But, you know, we do have a calendar. We watch the calendar. We maintain the calendar. We're always trying to work and minimize the white space, be that with a dedicated customer, semi-dedicated, or spot. So it just depends on the customer. Some of our other service lines that have more dedicated work, you know, the visibility is a bit longer. As you can imagine, though, customers are right now, you know, they are looking at different alternatives and, and as we see it right now, kind of looking ahead, early in the second quarter, things look to be relatively stable. But it's hard enough. And uncertainty is the word of the day or the time right now. We know that there are discussions going on, and we'll just have to wait and see. And get prepared for and then react to whatever happens.
Don Crist: Okay. And one of your competitors reported last night and talked about a kind of uptick in gas-directed activity. Whether it be in the Eagle Ford and Mid Continent or other places? Are you seeing any pickup yet, or is or is that still a couple months down the road, you think?
Michael Schmit: I think probably a little further down the road. We are hearing a little bit,
Ben Palmer: We do have exposure to some natural gas-focused basins, especially with our downhole tools business. It was very traditionally strong natural gas plays. Our downhole tools business is very well equipped to be able to move people in equipment around very easily and quickly. So having those operating locations in place, we'll be able to jump very quickly on the opportunities with that service line. And a couple of our other service lines. Less so for pressure pumping, we do have some exposure to the Mid Con So if things were to pick up there, we could certainly take advantage there. But the biggest opportunity for us is probably it would be on the downhole tool side.
Don Crist: Okay. I appreciate the color. I'll turn it back to the operator. Thanks.
Ben Palmer: Thanks, Doug. Appreciate it.
Operator: Your next question comes from the line of John Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Hey, Ben. Thanks for including me.
Michael Schmit: Just a couple quick ones, I think. Your prepared remarks, you noted some of your
John Daniel: some of the older pumping equipment out there is being sold by presumably some of your competitors. Just curious if you can talk about, is that whether it's frac equipment or other assets in your portfolio, do you guys see a need to sell assets And
Michael Schmit: just your thoughts on that equipment reentering the market?
Ben Palmer: What was the very end of your comment?
John Daniel: What's some of your peers, think, you know, are have sold or trying to sell some of their older you know, tier two equipment. Others are, you know, smaller companies are selling assets just to try to generate cash. You guys clearly don't need to generate cash because your balance sheet is fine, but I'm just curious if you could broadly speak about
Michael Schmit: what you're seeing in terms of who's buying some of that equipment. Just your thoughts on that.
John Daniel: That side of the market.
Ben Palmer: Oh, it's a good question. Again, we have we indicated, have seen some opportunities. I don't know who might be buying that. We have rarely over the years, found an opportunity that we were comfortable trying to make investments on in a used piece of equipment. You know, we have done a little bit of that. But not in a whole
John Daniel: small way.
Ben Palmer: And maybe kind of, you know, thinking about the question too. We talked about the fact that we monitor our equipment. And then when it comes to end of life or inefficient operations or whatever for frac, we look to move those assets out. We don't like to stack them up. In the last year or two when that need or opportunity arose, we've been able to reallocate some of those assets to other of our service lines that can use that type of equipment. It can contribute very nicely to the other service lines. So we've done some of that. If we were to sell our equipment, we've been very diligent about trying to make sure it can or doesn't reenter the frac market. So that could include selling it overseas or being able to disassemble the parts Right. And try to distribute it that way. So we're very keenly aware of trying to introduce any more equipment that could be competitive in the market.
John Daniel: Okay. The next one thanks for that. The next one is on CapEx just quickly.
Ben Palmer: Q1 CapEx is called low thirties. Which means you're underspending relative to the guidance. You're on the low end
Michael Schmit: if you will. What's the what would you need to see to
John Daniel: sorta accelerate that spend in the back half of the year? And is there more of a chance that know, we would see that CapEx dollars be allocated to
Ben Palmer: know, further accretive M&A opportunities.
Michael Schmit: Hey, John. This is Mike. Yeah. I think it will just it'll be based on market conditions overall. We're looking to spend the CapEx we need to maintain our equipment. Or if there is something accretive, you know, we will spend the money on that as well. But we are really looking at trying to see what we're really going to need to spend to meet all our customer needs for the year. Because no one knows really what's happening overall in the Sure. The macro conditions out there. So we've really pushed back or asked our businesses to really look at whether they need to do that this year or if we can hold off next year just so we also aren't spending all our cash on equipment that we're not gonna get a good return on in the short term so that we still have a strong balance sheet so we, you know, can do further acquisitions also. So we are still projecting to probably pick up a little bit of spending as the year goes on. But, hopefully, that kinda gives a little bit of color as to how we think about it. Know, Ben, you wanna Sure. Nothing else. Yeah. Yeah. I was just gonna say, John, I think, yeah, the first quarter number just
Ben Palmer: got there was a little bit of managing there trying to, you know Okay. Actually not spend we don't need to spend, but I think it was just sort of the timing worked out to where it was a relatively low annualized spend that was I think just the way everything fell out.
Michael Schmit: Terms of Got it. And then one quick final one for me. As the year unfolds with the uncertainty, I presume you're gonna see lots
John Daniel: M&A opportunities and just given Pentel's strong presence in the Permian, you say that your your folk you would you be more inclined to be focused on further consolidating the Permian market, you know, not just, say, wireline, but other services? Or are you sort of somewhat agnostic and willing to look at other basins?
Ben Palmer: I think that's a good question. We are not
Don Crist: we're
Ben Palmer: we're agnostic or we're open to opportunities in other basins as well. And, again, with the impending expected opportunities in the natural gas basins, you know, now may be a good time before things really do pick up big time. You know, maybe there's an opportunity something up that has exposure to some of those other basins that we can take advantage of. So I think, you know, we're looking at talking about several things. It's you know, our discussions are not all around. We need to focus on the Permian. Our discussions are around Let's look for appropriate opportunities. And, and each company and each business and each service line and each brand has different attributes and, so we're open.
John Daniel: We're open. Okay. Thank you for including me.
Michael Schmit: Sure. Thank you. Thanks, John.
Operator: This concludes our question and answer session. I will now turn the call back over to Ben Palmer.
Ben Palmer: Okay. Well, thank you all for listening in and your questions. We appreciate it, and I hope you have a good rest of the day and look forward to catching up.
Michael Schmit: Take care.
Operator: Today's call will be available for replay on our dot net within two hours following the completion of the call. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.